Operator: Ladies and gentlemen, thank you for standing-by and welcome to the Maxar Technologies’ Q3 2019 Conference Call and Webcast. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Jason Gursky, Vice President of Investor Relations. Thank you. Please go ahead, sir.
Jason Gursky: Great. Good afternoon, and thanks, operator. Welcome to Maxar’s third quarter 2019 earnings conference call. I’m joined today by the company’s Chief Executive Officer, Dan Jablonsky; and Chief Financial Officer, Biggs Porter. Both will make some opening remarks, after which, we’re going to open up the line for your questions. We’re shooting to wrap up the call a little under an hour. And as such, we’re going to ask callers to limit themselves to one single part question and single part follow-up during the Q&A session. Before we get started, I’d like to refer listeners to the accompanying slides for today’s call, which can be found on the company’s website, maxar.com in the Investor Events & Presentations section of the site. Finally, I would like to remind you that part of today’s discussions, including responses to various questions, may contain forward-looking statements, which represent the company’s estimates, future plans, objectives and expected performance at today’s date. These statements are based on current assumptions that the company believes are reasonable, but are subject to a wide range of uncertainties and risks that could lead actual results to differ materially from the forward-looking information. You are referred to the advisory regarding forward-looking statements contained in our quarterly earnings release, the earnings call slide deck and the company’s most recent MD&A section found in our Form 10-Q, which is available online under the company’s SEDAR profile at SEDAR.com, under the company’s EDGAR profile at sec.gov or on the company’s website at maxar.com. With that, I’d like to turn the discussion over to Dan Jablonsky. Dan, go ahead.
Dan Jablonsky: Thanks Jason, and good afternoon, everyone. I appreciate you joining us for a review of our third quarter results and an update on the outlook for the company. I’m pleased with the results that we were able to deliver this quarter and with the progress that we’ve been making throughout the year. Please turn to Slide 3 of the accompanying presentation for key highlights of the quarter. We generated $479 million in revenue and $128 million in adjusted EBITDA in Q3, with EBITDA up year-over-year from Q3 of 2018. Biggs will go into further detail during his portion of the call, but I feel this is a good outcome and demonstrates the traction we’re seeing in our efforts to position the company for sustained revenue, profits and cash flow growth. Importantly, we garnered several key wins during the quarter across our businesses. I’ll go into these in more detail a little later, but the headline is that we continue to play a key role for the most demanding government and commercial customers out there. We are proud that they have entrusted their critical missions to Maxar. We also continue to make progress on all our key initiatives for 2019, including a real estate transaction in Palo Alto that we’ll be delivering in nature. And finally, I note that we are maintaining the key elements of our outlook for 2019. Please turn to Slide 4. As you know, our top priority for the year has been to reduce our debt and leverage levels, and I’m pleased to announce that we have entered into a sale-lease back agreement on our Palo Alto manufacturing facility pending closing conditions. We expect roughly $291 million in gross proceeds from this transaction to reduce debt levels and improve leverage metrics. The delevering from an economic perspective is expected to be in excess of $200 million. Importantly, the sale-lease back arrangement will provide us with a stable way to manage current and future programs even as we continue to reengineer the business. We plan to exit an office unlike manufacturing building over the course of the next two years as part of this transaction and have entered into a 10 year lease on our primary manufacturing assembly integration and test facility. We also announced the launch of a bond offering today to better align our maturity schedule with our expected cash flow streams. In the quarter, our debt levels remain flat from Q2 as cash flow was roughly breakeven. That said, our leverage ratio ticked up from Q2 on lower trailing 12 month bank adjusted EBITDA. Finally, we also continue to drive on alternatives to reduce overall debt and leverage levels. As I said in the past, we are leaving no rock unturned and the team and I will continue to work diligently on this initiative. Please turn to Slide 5. Our efforts to reengineer the Space Solutions business continue this quarter. And I’m pleased to announce that we had some success on the order front with an award from NASA to host the agencies TEMPO payload on a commercial GEO Comsat. We were also awarded several civil, DoD and classified study contracts that should help shape future requirements for potential production contracts down the road. Turning now to performance. Adjusted EBITDA improved year-over-year and ended the quarter just under breakeven. We also continue to reshape the organization and our footprint this quarter as we look to drive towards sustained profitability. I’d like now to offer an update on the GEO Comsat market. Clearly, 2019 has been better with industry awards year-to-date higher than the entirety of 2018. We garnered an award with Ovzon, who was planning to use our Legion class architecture and a digital payload and a geosynchronous orbit earlier in the year. And I am pleased to announce that we were recently awarded a GEO Comsat utilizing our 1,300 class architecture with an undisclosed customer. We’re still working through the contract details and we’ll be sure to provide more information when appropriate. Going forward, I am confident that we will continue to book additional GEO Comsat orders over time as the market recovers. Please turn to Slide 6. I’d like to provide an update on our current strategy for our space business. As you all know, Space Solutions has historically been largely single threaded to the commercial GEO Comsat market. This is no longer the case. We are aggressively pursuing opportunities in the civil market both here in the U.S. and abroad to expand beyond programs like Restore-L and Psyche, which are already in backlog. And we’ve had some good success with the PPE Artemis and TEMPO awards from NASA being good examples. At this point, we continue to pursue other programs across NASA Space exploration and earth science as well as programs with other agencies inside the U.S. and international governments and we expect the civil market to be a source of growth for us going forward. But we are not stopping there. In the future, we see ourselves playing an increasingly important role with national programs, as we believe our capabilities are well aligned with the national defense strategy of the Department of Defense here in the United States and with the spending priorities of allied nations. I think it’s safe to say we are no longer single-threaded, which we expect will benefit the company by expanding addressable markets, increasing volumes and reducing cyclicality. Please turn to Slide 7. Our third priority this year is positioning MDA for long-term growth following the recently completed RADARSAT Constellation Mission, which is creating revenue and adjusted EBITDA headwinds in 2019. Importantly, during the quarter we won a competitive award with Canadian government to design system requirements for the robotic interfaces of Canadarm3. We also won a design contract with the Canadian Space Agency for a wildfire monitoring satellite and Airbus ordered us a contract for advanced navigation antennas. Turning to performance. As expected revenue and adjusted EBITDA declined year-over-year given the completion of the RCM satellites. As we move into future periods, we expect year-over-year comparables to become easier and for the business to return to grow. On the pipeline front, the Canadian Surface Combatant production phase in the early part of the 2020 is in front of us. So two is the Canadarm3 program where we feel we are uniquely positioned given our track record with the Canadarms on NASA space shuttle and on the international space station. And finally, MDA continues to be active in the GEO and LEO markets through our components and ground stations capabilities, which brings me to an update on the Telesat LEO program. We announced a partnership roughly 15 months ago to pursue this opportunity. However, we recently dissolve this structure in favor of a standalone pursuit given an evolving procurement strategy of our customer. We view this as a positive outcome for Maxar as it will allow us to bid on the areas where we feel we have competitive advantages across our capability set and manufacturing geographies. Combined, we see a robust pipeline of opportunities ahead for MDA. This should allow for a return to growth over the medium term as the full impact of the recently completed RCM program rolls off. Please turn to Slide 8. Our fourth priority this year has been to position our Earth Intelligence business and Imagery and Services for long-term growth and to make sure that we minimize the impact of the WorldView-4 satellite loss. We continue to make good progress this quarter. The Imagery business was awarded a four year contract with the NGA for our global enhanced geospatial delivery service, putting this revenue stream on firm footing well into the future and ensuring the 300,000 plus users inside DoD continue to have access to this important platform. We also brought an additional country into the installed base of our rapid and direct access offering, marking the second win with the new allied nation this year. In Services, we won a GEO and cloud architecture contract with the U.S. Air Force and several classified awards. This marks yet another quarter of backlog growth for this segment, providing increased visibility on our outlook. Turning to performance. We experienced year-over-year growth in revenue and adjusted EBITDA driven by the signing of a previously delayed contract with an international government customer. The shift of lost WorldView-4 revenue to other constellation assets, increased U.S. government revenues in the Imagery business and a continued ramp and Services as that segment executes on recent growth in backlog. Please turn to Slide 9. I’d like to spend a few minutes diving a bit deeper into the growth outlook for our Earth Intelligence business. As we have discussed in the past, we are the market leader in the geospatial industry with robust capabilities in Imagery, Platforms, Products and Services. We are facing growing demand across our customer set, given the confluence of geopolitics, economic growth and rapid technology development, which allows our customers to extract increasing levels of insight from the data, products and services that we offer.  Slides 10 and 11 are here for reference and provide readers a snapshot of the breadth of current programs across our government and commercial customers. And Slide 12 provides a visual of legacy, current and planned constellation assets. So let’s turn to Slide 13 for a moment to discuss the WorldView Legion program. Since that’s going to be a major driver of our growth opportunity going forward. Legion will be a fleet of six high-performance satellites that are expected to dramatically expand Maxar’s ability to revisit the most rapidly changing areas on earth to better inform our customers’ critical and time-sensitive decisions. In fact, once on-orbit, our revisit rates will increase to more than 15 times per day over the highest demand areas and Legion will more than triple our capacity to collect world-leading 30 centimeter imagery, which is what our customers need to perform their most important missions. From a technical and financial perspective, each Legion satellite will be roughly one-third the mass of previous satellites and the constellation will collect more than 3 times as much capacity as WorldView-4. Importantly, this capacity increases better matched to demand, so the usable increasing capacity is considerably more than 3 times and all this is being done at a much lower construction costs than WorldView-4. This combination of higher capacity and lower cost bodes well for improved capital efficiency for the company and expanding returns on invested capital over time. At this point, the program is in line with its $600 million budget in a set to be launched starting in early 2021. Importantly, by having six satellites in the constellation, we believe we are increasing the resiliency of our operations and significantly lowering the cost of replacing any one satellite, including the possibility of having a spare satellite and inventory. For further context, we estimate that the capacity of WorldView-4 could be replaced with only two Legion satellites. All of this is to suggest that the incremental cost of replacing future satellites and/or growing our capacity can be done in more bite sized chunks and at an overall cost that is significantly lower than legacy constellation assets. Customer benefits that we expect will drive continued growing demand for our services, include regularly refreshed coverage of the earth and accurate mapping, monitoring and analytics of scale. Additionally, it will capture best-in-class image resolution that will allow for the modeling of the earth in high resolution 3D, a capability that we believe will have many applications across our customer set in the future. Slide 14 graphically shows a comparison of the cost of Legion constellation compared to our legacy assets, demonstrating its capital efficiency. And finally, Slide 15 provides a snapshot of the company’s capability set across resolution, GEO location accuracy, revisit and capacity. Clearly Maxar is well positioned in the market. As a reminder, we have been a trusted partner of the U.S. government for nearly 20 years, delivering commercial capabilities with superior quality, cost, security and reliability. A recent study contract with the NRO coupled with our enhanced view follow-on contract demonstrates that the U.S. government recognizes the value of procuring commercial satellite imagery both now and into the future and it demonstrates the government’s confidence in Maxar’s current and future capabilities. We are proud to support the U.S. government mission and look forward to continuing to work with the NRO as they increasingly adopt commercial imagery and services. We continue to see strong signals from our customers suggesting that if anything, demand likely goes beyond the capacity of our Legion constellation and that there is a significant opportunity set for us in the future with our government and commercial customers’ both domestically and internationally. Please turn to Slide 16 to wrap up the discussion of our near-term priorities. We continue to make progress in our efforts to reshape and restructure the business and we’re seeing good traction with the deployment of the new operating model. Our product teams continue to work across the company and our global field operations team is building and executing on a robust pipeline. We’re also seeing good market reaction as we roll out our positioning with the One Maxar brand and our finance and operations staffs are continuing their consolidation and streamlining efforts. As a reminder, we expect this initiative to save money, improve our time to market with new products and services and improve collaboration across the organization, all of which are beginning to unlock synergies and improve team member engagement. Please turn to Slide 17. Before I hand the call over to Biggs, I’d like to provide a quick framework to help investors understand how we’re thinking about the outlook in the near, medium and longer-term for the company. 2019 has been about resetting and stabilizing our business after the order decline experienced in the GEO Comsat market over the past several years. The wind down of the RCM program for the Canadian government this year and the announced loss of WorldView-4 at the beginning of 2019. Clearly, we have experienced the conflict with tough events. But we have been laser focused on reengineering, execution and business development to position the company for a return to growth in the medium-term. And while I can’t declare victory on that yet, I do believe we have made tremendous progress this year. Longer-term, we expect to accelerate growth by deploying our new constellation assets in the Imagery segment, executing on our growing backlog and services, reaping the rewards of our diversification efforts at Space Systems and enjoying the results of some potential key wins at MDA. With that, I’d like to hand the call over to Biggs for a review of the financials. Biggs?
Biggs Porter: Thanks, Dan. Please turn to Slide 18 where we present year-over-year comparisons for Q3 and year-to-date. Total company revenues declined 6% year-over-year in the quarter due to lower GEO Comsat volumes and the RCM program wind down in Space Systems. These declines were partially offset by growth in Services and Imagery, the details of which I’ll go into momentarily. Adjusted consolidated EBITDA margin increased 610 basis points year-over-year driven by Space Systems and Imagery offset in part by Services. Corporate and other expenses were higher year-over-year driven primarily by the retention costs at Space Solutions that I’ve discussed before. And that we are recognizing corporate and other expense to provide a better sense of the underlying profit trends at the segment level. These retention costs are being incurred to stabilize the workforce after the strategic shifts of the last year. We believe it is having its desired effect. New wins in Space Solutions are likewise having a very positive effect on the workforce. These increases were partially offset by a decrease in SG&A and a decline in expenses related to a business dispute in 2018, which did not recur in 2019. GAAP EPS was a loss of $0.44 versus a loss of $4.88 in the third quarter of 2018, driven largely by the impairment taken in Q3 2018 related to the decline in the overall GEO Comsat business environment. Year-to-date, revenues have declined 10% driven by lower volumes in Imagery and Space Systems in part offset by growth in Services. Adjusted EBITDA margins have increased 180 basis points driven by Space Systems and Services partially offset by Imagery. Year-to-date, EPS is a positive $2.02 versus a loss of $5.45 last year, driven by the WorldView-4 insurance recovery booked in Q2 of this year. While the loss, last year was driven largely by the impairment described earlier. Please turn to Slide 19. As expected, Imagery revenues increased 5% year-over-year in the quarter, as we successfully signed delayed contract renewal with an international customer and continue to transition of lost WorldView-4 revenue streams to other constellation assets. We also saw year-over-year growth in our U.S. government business as we continue to upgrade work on our infrastructure to better inner operate with our customer in the years to come. Adjusted EBITDA margins expanded 220 basis points year-over-year on the higher revenue and positive mix in the quarter. On a year-to-date basis, revenues were down 2% given the WorldView-4 loss, but are tracking to roughly flat for the full year. Adjusted EBITDA margins are down roughly 80 basis points lower revenue and a slightly less favorable mix. Please turn to Slide 20. Space Systems revenues were down 16% year-over-year in Q3, driven primarily by the expected wind down of work on the multi-year RCM project and the decline in GEO Comsat activity. Excuse me. Adjusted EBITDA margins increased 770 basis points as a result of lower development spend and lower headcount as a result of restructuring efforts. The third quarter of last year was also impacted by supplier issues and delays. Year-to-date Space Systems revenues are declined 15%, driven largely by the factors mentioned earlier, partially offset by an increase in revenues from Neptec, which was acquired in July of 2018. Adjusted EBITDA margins have increased 270 basis points, primarily as result of the factors mentioned earlier, partially offset by an increase in estimated cost to complete on certain projects. Space solutions, the legacy SSL business generated $167 million in revenue during the quarter and a small adjusted EBITDA loss. The market improvement from the $31.5 million loss posted in the third quarter of 2018, a quarter that was negatively impacted by EAC growth due to supply chain issues and delays. Performance in space solutions continue to be negatively impacted by EAC growth layer to first time work, which we are working diligently to complete. At this point, we continue to expect roughly breakeven adjusted EBITDA for the full year excluding the retention payments being recognized in corporate expenses. Please turn to Slide 21. Our Services business posted an 18% increase in revenue this quarter versus third quarter of 2018 driven by gross from new contract awards and program expansion on existing contracts across the intelligence community and DoD. Adjusted EBITDA margin declined however by roughly 220 basis points year-over-year, given a change in lease expense, which decreased adjusted EBITDA by roughly $1 million in the quarter versus the prior year period. Please note this change will result in additional $1 million of this expense year-over-year in the fourth quarter of this year. Additionally, third quarter 2018 margins were higher versus third quarter 2019 given a lower level of subcontractor pass through work performed last year. This business experienced another solid looking quarter with total book-to-bill for the segment exceeding one. Year-to-date, revenues were up 9% year-over-year on the recent wins, while margins have remained relatively consistent. Please turn to Slide 22. The company generated $83 million in operating cash flow this quarter and invested $79 million in CapEx and developed intangibles. On year-to-date basis, we have generated $142 million in operating cash flow and spent $206 million on CapEx and intangibles. Space Solutions/SSL consumed $2 million of consolidated operating cash flow in the quarter and $84 million year-to-date, as recent new award activity had a positive effect  As a reminder about cash activity in the fourth quarter, Q1 of 2019 included the doubling up of interest that added $42 million of cash outflow in that quarter relative to the norm. We paid additional cash interest in Q2 and Q3, but we’ll not be doing so in Q4 as we have already paid a full year’s worth. Also the fourth quarter is typically seasonally positive quarter for the company, when it comes to operating cash flow generation. And this quarter looks even more so given the expected milestone payments, our major programs, almost all of which are already in backlog. This assumes of course that we don’t have a government shutdown that affects us this year, like it did last year. As I’ll detail later, our operating cash flow outlook for the full year remains unchanged. Please turn to Slide 23. We finished the quarter with consolidated net debt of roughly $3.1 billion, up slightly quarter-over-quarter. Our bank defined leverage ratio ended the quarter at approximately 4.9, up roughly two-tenths of a turn from Q2 as trailing 12-month bank adjusted EBITDA declined due to the roll off of add backs allowed for under the credit agreement in prior quarters. Importantly, we remain well below our covenants. We had roughly $588 million liquidity at the end of the quarter via combination of cash on hand and availability on our credit facility. As Dan mentioned earlier, we recently engaged in a sale leaseback transaction on our Palo Alto manufacturing facility. Irrespective of refinancing activities, the gross proceeds of roughly $291 million are sufficient to retire our 2020 maturities. We will leaseback one or two of our primary buildings, which contains office space and light manufacturing for two years. The leaseback term on our primary manufacturing integration and test space is for 10 years, which gives us plenty of runway to address our long term manufacturing footprint in California. The lease amounts are in our 10-Q. Importantly, we expect the net effect of this transaction to reduce leverage by roughly 0.3 times. Going forward, we remain focused on delevering and debt reduction efforts in on better aligning our maturity schedule with our cash flow streams. Including the bond offering announced earlier today. We continue to expect to increase cash generation in future years from expansion in adjusted EBITDA. The lower CapEx is our investment in the WorldView Legion constellation will continue for two more years, after which we will be positioned to have much greater free cash flow to delever. Please turn to Slide 24. Turning into guidance. We continue to expect Imagery to be roughly flat year-over-year from our revenue and adjusted EBITDA perspective. And Services, we are now expecting solid mid to high single-digit revenue growth up from the low single-digit growth, we were previously forecasting, driven by the new awards we’ve won throughout the year. We continue to expect full year adjusted EBITDA margins of roughly 10%. At MDA, we are now expecting a low teen decline in revenue versus low single-digit decline, we previously expected, given delays and forecast to starts on new projects. We continue to expect a decline of several hundred basis points of margin compression. It is important to note that we expect the delays this year to be pushed into 2020 and that this business has recently the books some new ones including the initial development work on Canadarm3. Taking together, no change to adjusted EBITDA for the Imagery, Services, MDA businesses. Moving on now to space solutions/SSL. We expect to this segment to contribute roughly breakeven adjusted EBITDA to the Space System segment, pre-retention payments and eliminations. Retention payments are now expected to be close to $25 million for the year. offsetting this below the adjusted EBITDA line will be lower severance costs of 2019. Finally, we now expect roughly $30 billion of inner segment adjusted EBITDA eliminations, which is about $10 million higher than the previous expectation given the cadence and profit levels inner company activities now forecast. So to summarize all the pieces of adjusted EBITDA guidance, we continue to expect greater than $550 million in adjusted EBITDA from Imagery, Services, and MDA net of corporate costs, but not included in the $25 million in Space Solutions retention. We’ll expect Space Solutions to be breakeven before eliminations are roughly $30 million and retention payments of $25 million. So we expect enough upside on the adjusted EBITDA from Imagery, Services and MDA plus a breakeven Space Solutions to offset the slightly higher elimination to $30 million and the retention payments of $25 million to keep us equal to or north of the $510 million for the overall company. On operating cash flow, we continue to expect the range of $350 million to $450 million excluding the $80 million to a $100 million consumption of Space Solutions and the $20 plus million in retention payments. Taken together, this provides for operating cash flow on a consolidated basis in a range of $230 million to $330 million. Please note that this includes significant restructuring cash outflows due to reduction in force and final integration cost on the 2017 merger. These costs aggregate up to $40 million and are exceeded by the in-year savings we expect. Net of those costs, the normalized operating cash flow would be higher. For space solutions, as I’ve mentioned on prior calls, cash flow is a headwind in 2019 given the timing of milestone payments, retention and cash restructuring charges, but this has significantly turned around in the second half. As evidenced by third quarter cash use at space solutions of only a negative $2 million. We expect CapEx for the year to be roughly $340 million, excluding capitalized interest of roughly $20 million. This is down about $35 million from our prior forecast, given the cadence of work being completed this year on WorldView Legion, recent reshaping efforts of space solutions and other fine tuning. We’ll continue to evaluate how much of this rose over in the next year as opposed to permanent reduction. If you’re thinking about the future beyond 2019, in addition to normalizing for the insurance proceeds, keep in mind that our 2019 guidance includes up to $100 million use at space solution, $20 plus million in retention and up to $40 million of restructuring related costs. Once Legion is complete, we expect CapEx to fall to a more normalized range of $100 million to $150 million. We also expect to recoup the approximately $70 million loss WorldView-4 revenue and to grow the company in other areas. So I said over time all-in we could see upwards of $200 million of adjusted EBITDA growth. So sometime following when we put WorldView Legion into operation, when you wrap all these things together, that is solving for the cash burn in space solutions, lower retention and restructuring costs, lower CapEx and adjusted EBITDA growth, we see at past up to $500 million or more swing at free cash compared to 2019 guidance after normalizing for the insurance proceeds. Now back to 2019 guidance, we expect depreciation and amortization of roughly $405 million this year. Interest expense is expected to be approximately $195 million down slightly due to interest rate swaps that levels the interest rates and interest expenditures are expected to come in at roughly $185 million this year, with approximately $20 million of that capitalized. We continue to forecast or roughly 0% effective tax rate due to the benefits of NOL carryforwards and ITCs. We also continue to expect the diluted share count to come in at roughly 61 million. And as I discussed in the past, our credit agreement allows us effectively to convert our GAAP financials back to IFRS for the purposes of compliance with our covenant, which will generally lead to a higher level adjusted EBITDA. Most notably, these are R&D expense and investment tax credits. We also have the ability to add back several other items to the leverage calculations, including stock compensation, which we now deduct from adjusted EBITDA and the expected benefits of restructuring efforts and cost savings. It is, as already noted, complicated and will vary based on the expenses embedded in our U.S. GAAP numbers. So when we roll all the factors embedded in our guidance with these items, we expect our leverage ratio for the purposes of our debt covenants in the year well below six times. Now I’d like to close out my comments by giving you few thoughts on the debt refinancing activity we launched earlier today. The objective of the refinancing is to pay down the borrowings on our existing revolving credit line and retire our Term Loan A indebtedness, while extending the maturity of our credit line and reducing it to $500 million. While we were in marketing, I cannot give more specifics on the bonds, but I can talk to the bank credit amendment that we’ve entered into in support of that offering. The amendment would extend the maturity of our credit agreement by two years to 2023 conditional upon the success of the bond offering and the use of proceeds to pay down the current borrowings outstanding on the Term Loan A and revolver. You will see in our disclosures of the amendment in our third quarter 10-Q to that conditional on the success of the bond offering, covenants had been significantly expanded. These new covenants were set high by the banks well above our current levels and expectations in order to give us and the prospect of bond holders plenty of room. Far more, either they would have anticipated otherwise. As I said earlier, our current bank leverage is at 4.9 relative to a covenant of six. The new covenant goes as high as almost eight times, 160% the current metric. Another element of the amendment which is not conditional on the bond offering provides clarity that the proceeds from the Palo Alto land sale can be used to retire our Term Loan A debt as opposed to a pro rata pay down of our term loan debt. So with or without a bond transaction that we have a clear path taken care of the first Term Loan A maturity. So to summarize my comments, we continue to be encouraged by the growth in Imagery and Services. We had success continue to work diligently to win new projects and return to profitability is Space Systems and we are focused on delevering and aligning our maturity schedule with our cash flow streams. With that I’d, like to ask the operator to remind listeners how to queue up for question and open the line.
Operator: [Operator Instructions] Your first question comes from the line of Ben Arnstein with JPMorgan. Please go ahead. Your line is open.
Ben Arnstein: Hey, good afternoon everyone. Right. So I guess I kind of wanted to ask a little bit about the debt and the leverage situation. I appreciate that you can’t talk too much about the offering right now, but if it is successful , you will create a couple of years of breathing room here with your maturities now lining up in 2023 and 2024. And in addition to the kind of CapEx holiday of we’re going to see now preceding that. How should we think about, your capacity to delever from here including the Palo Alto sale?
Dan Jablonsky: To be honest, I’ll ask Biggs to take the thrust of that. But it’s critical at the Palo Alto. The sale is the delevering event in and of itself. So that’s good news for us. And as you noted, the CapEx cycle for the Legion program right now is not ideally timed with our current maturity schedule. So moving that maturity out past when that program has done in the other things that Biggs talked about in terms of cash flow generation are pretty critical to us moving to that time frame, but Biggs, can you want to give some more?
Biggs Porter: Yes. So I think Dan covered it. But Legion program completed 2021 the first launches targeted for the earlier part of the year. So the reduction in CapEx starts then. All those factors, I described is creating a $500 million swing, aren’t fully captured at 21, but they certainly head in that direction and by you get 2022 and 2023. They are pretty fully captured or not fully captured by the time we get to 23. So that’s a lot of cash generation to go pay down debt before we get to those maturities.
Dan Jablonsky: I think the other thing I note, Ben, is it, as I said in my remarks, we are still continue to work alternatives to delever faster than that as well. We’ll do the smart thing for share owners, but we’ve got some other things in front of us possibly. 
Ben Arnstein: Got it. Thanks. And are there any contingencies, I guess around that $500 million swing in cash for 2020 to 2023 in terms of programs that you want to win or what kind of the follow on for and how you see it might look like?
Biggs Porter: Well, at this point in time, there’s nothing that we forecast. It is possible that we could have customer interest in more capability, but we think that would bring customer funding. So that’s an upside, not a contingency. And from the standpoint of other items, I think the $500 million, if you do the math on everything, I said, you actually get to a number bigger than $500 million. So that leaves room for something unforeseen. But at this point in time, there’s nothing I’d point to as a contingency.
Ben Arnstein: Okay, thanks. 
Operator: Your next question comes from the line of Steven Li with Raymond James. Please go ahead. Your line is open.
Steven Li: Yes. Hi, can you hear me? Okay. Hey guys. Just a clarification on the Palo Alto sales leaseback, so the $290 million, versus $200 million delevering, what’s the difference between the two numbers?
Biggs Porter: Between sort of $291 million and $200 million. The $200 million is reveal the economic delevering, if you compare the total value the proceeds to the economic value of the leaseback and that economic value, the leaseback as a matter of perception as to what kind of discount rate you want to apply. We give you the lease numbers so you can go and to determine what you think the fair value of that lease, but, it’s – the fair – if you will the economic delevering is more than $200 million. But from a absolute cash inflow standpoint, the cash proceeds are closer to that $291 million net of all of the expenses.
Steven Li: Okay. That helps. And then you mentioned there will be six-sided lights for the Legion. I think I heard you say one could be a spare. What’s the reason for the spare? Is that really potential Legion-X customer?
Dan Jablonsky: So actually the first part of the constellation that launch will be the six. We have had some interest than others funding additional capacity, something we – that Biggs just spoke to, what do we call it Legion-X or for some other government programs. We have had interest and those would come with customer funding as well. So we’re six is the initial, launches that we’re planning on. And then there could be some additional in the mix.
Biggs Porter: I’d just put also point out, we haven’t made a decision at this point in time, in fact to build a spare. We’re saying that that’s a possibility and well, it makes it a possibility is if you consider the fact we had a $600 million program for six satellites, there’s a big non-recurring element in there, then the incremental cost of a subone is low enough to where that possibility is out there. And we felt like that was the best way to create resilience in the future as a trade against also insurance costs. So the real point here is that is a significantly lower cost point than probably what anybody anticipated. And we have the opportunity then to go to approach of take the spare or over time smoothing out the cost of replenishing or growing the Legion for the fleet.
Steven Li: Okay. That makes sense. And then my last one is on the dissolve structure on the Telesat bid. Do you have to start from scratch for bidding on part of the contract and what is the new expected timing for any award? Thank you.
Dan Jablonsky: No, we don’t have to start from scratch. An awful lot of non-recurring engineering work, customer funded has been done at this point and a lot of studies work and proof points well along in the process, continue to be very closely involved in discussions with the customer. I can’t get in front of their timeline, but I think they’ve said they expect movement still in this calendar year.
Steven Li: All right, thanks. 
Operator: Your next question comes from the line of Doug Taylor with Canaccord. Please go ahead. Your line is open.
Doug Taylor: Yes. Thank you. You’ve mentioned the lower costs per satellite asset for the WorldView Legion. Assured to drive some economic benefits, your model through the cycle as you mentioned. It does also speak to the potential for barriers to entry for new entrance. What can you tell us or remind us how you think about the other barriers to entry besides CapEx, that maths on its model brings that helps keep the economic move between you and competitors?
Dan Jablonsky: Thanks, Doug. And I guess just to kind of be clear, I mean, the way we think about it as constant innovation and delivering better results for our customers and returns on our business. And as long as we continue to do that, we think that as a market leader, we’ll continue to extend our lead. This is the Legion class satellites are a very innovative design. We are looking forward to getting that constellation on orbit and delivering that level of enhanced quality and revisit and all the – of the other things that we have for our customers. And we’ve got lots of experience doing this almost 20 years history in this business. And we continue to, I think advance our lead. The other parts of that are not just the satellite constellation but what happens around it, the data handling, the platformization of it, the moving into things like 3D models and the analytics that go with it. So from an end-to-end standpoint of all working building the satellites to flying the satellites, moving that data around the world at light speed and making analytics judgments off it in useful way, that’s how we think about our lead in the business. Just kind of beyond the USG relationship that we’ve had for this long period of time, we’ve got over 12 installed international defense and intelligence customers where that satellite data’s going in directly into their ground stations. And we’re up over 40 customers on the SecureWatch program of the international defense and intelligence front as well as the commercial customers that we’ve got.
Doug Taylor: That’s great color. Thank you. Just for my follow-up quickly, I just wanted to clarify the answer to a previous question. I believe it was Steven’s regarding the sale and leaseback transaction. So the $291 million is a net of taxes or whatever the projected tax implications are from that transaction. Is that correct?
Biggs Porter: The $291 million is the gross proceeds. There’ll be some amount of other expenses, taxes, brokerage fees, et cetera, deducted from it. But you’re still a likely north of $280 million after backing those out.
Doug Taylor: That’s helpful. I’ll pass the line. Thanks.
Operator: Your next question comes from the line of Thanos Moschopoulos with BMO Capital Markets. Please go ahead. Your line is open.
Thanos Moschopoulos: Hi. Good afternoon. Dan, as far as the GEO award that you announced, is that contingent on the customer getting financing or it’s financing in place? And would you expect to be able to finalize the agreement in the current quarter?
Dan Jablonsky: We do expect to finalize it this quarter. Teams are working very hard on finalizing the contract. We’re not aware of any contingencies to it, but we have to get the contract done. Moving forward, we understand the customer, as they all do when they finally give you an award, timelines to get the delivery, otherwise they would’ve made that capital investment decision. We’re very excited about that award as well. Thanks for mentioning that Thanos.
Thanos Moschopoulos: Any other color you can provide on it or not at this stage?
Dan Jablonsky: Not at this stage. We’re holding that back until we get the final contract.
Thanos Moschopoulos: Okay. And on the debt, you’re repaying the revolver as part of the financing. Will you still have the full revolver available post the debt financing?
Dan Jablonsky: Biggs can give more color here, but – as part of this, we’ll pay off the current revolver and then have a new $500 million revolver with zero balance on it, it would be the expectation.
Thanos Moschopoulos: Okay. And then finally, in terms of the year-to-date award activity that we’re seeing out there, to what extent is that translating into a potential work for MDA?
Dan Jablonsky: It definitely translates into intercompany work for us with MDA. They have been – the partnership between the legacy MDA and SSL units is well and long established between antenna work, converters, other sub-components, as they are for the rest of the industry as a merchant supplier for them. So they continue to roll full steam ahead and they are an important part for – as part of Maxar business.
Thanos Moschopoulos: And then in terms of the awards that have gone to others. Is that some that translating into work for MDA?
Dan Jablonsky: Yes, absolutely, yes. Some of it has continued to come to MDA and they continue to pick up work even when we don’t – when the full headline will award on it.
Thanos Moschopoulos: Thanks. I’ll pass the line.
Dan Jablonsky: Thanks, Thanos.
Operator: Your next question comes from the line of Richard Tse with National Bank Financial. Please go ahead. Your line is open.
Richard Tse: Yes. One of your slide, I think Biggs talked about, opportunities beyond sort of the single threaded GEO side. So what would you think is the biggest opportunity from that perspective?
Dan Jablonsky: Well, I think near in is the one where we’ve already been winning quite a bit of business, which is the civil space side. So, we already have in backlog the TEMPO award with NASA, the Psyche and Restore-L missions both for robotics and on-orbit servicing and further asteroid space exploration. And now the recent PP Artemis win, uh, built on legacy 1300 class capabilities, but repurposed for NASA civil missions. So we’re very bullish on that. We continue to look forward to the Canadian government’s Canadarm3, timeline. As I think everybody on this call knows NASA has moved the schedule up for the Artemis program from a 2028 to the 2024 timeline, which means we’ve got to be launching the PPE in 2022, early 2022 and for Canadarm to keep up with that. Everybody’s sort of in an accelerated format right now on, what will become the gateway program. So that’s very exciting. We’re a little more nascent on the defense program side in the U.S. I would say, we continue to enjoy strong support with the Canadian Defense and Space agencies. The RCM program in fact was a Canadian Defense program. But on the U.S. front, we just became U.S. incorporated in January this year. And so we’re moving our way into the program phase on different aspects and as typical, it starts out with studies. And then as you when studies and improve your work, you start to win other types of business. We hope that – hope and expect, I guess, that moves into contracting and production phase at some point.
Richard Tse: Okay. That’s helpful. Thanks. And I just had a question on sort of WorldView-4. Can you maybe give us a sense of how much revenue has not been able to reconstitute the other satellite?
Dan Jablonsky: Yes. So when we lost the satellite, we announced that it had about $85 million of pretty high margin revenue on it. And that we expect it to be able to move around $15 million of that revenue to other constellation assets. And we by enlarge been substantially able to do that. We’re continuing to look for other opportunities to go pass that, but we’ve been able to do that during this year. And I think that’s some of what you see from the improving results in Q3 and are holding on the guidance for the year.
Richard Tse: Okay. And just one last one from me with respect to the financing you’re doing today. I’m not sure you’ve sort of give any color on it, but can you give us a sense of what the interest rate on that debt would be?
Biggs Porter: While we’re in the marketing process really can’t – I mean obviously this is ultimately driven by the market. So except to wait on that one.
Richard Tse: Okay. Appreciate it. Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Jason Hahn with Principal Global Investors. Please go ahead. Your line is open.
Jason Hahn: Thank you. I just wanted to maybe get a little bit more clarity on the debt financing and the Palo Alto proceeds. So, if I understand it correctly, you’ve got essentially just short of $1.2 billion of debt outstanding on the term loan A-1, A-2 and the revolver. You’ve got, it sounds like $280 million-ish of proceeds coming in on the Palo Alto facility. So that gets you down to sort of a net funded debt on the front end of about $916 million. But you’ve announced the deal size for $1.25 billion. Will the incremental proceeds there be used to repay term loan B borrowings or is there some other use of proceeds to reduce debt here that I’m missing? Thank you.
Dan Jablonsky: Yes. Sure, thanks Jason, and thanks for the question. You bring up a good point. Under the assumption we get to closing this year on the Palo Alto real estate sale, we would apply that to the debt offering that we have underway. So, we take out the two first, call it $250 million of that and be closer to about $1 billion of debt rolling over.
Jason Hahn: Yes, I guess I was confused. I thought that that deal was at least initially structured as non-call too.
Biggs Porter: So the new offering because of the timing of cash in-flows from it relative to the timing of cash flows, the land sale, the new offering gives us the ability to redeem $250 million of that after its initial issuance.
Jason Hahn: Okay, great. That’s very helpful. Thank you, guys. Good quarter.
Jason Gursky: Hey operator, we’ve got time for one more question.
Operator: Certainly, your last question comes from the line of Michael McCaffery with Shenkman Capital. Please go ahead. Your line is open.
Michael McCaffery: Thanks. What’s the timeframe that we should expect for the Palo Alto transaction to close?
Dan Jablonsky: Yes, it’s still subject to closing conditions. We do expect it to close in this calendar year, with proceeds being applied in this calendar year.
Michael McCaffery: And am I reading the language in the Q correctly that the amendment on the credit facility is getting the secured bond deal done?
Biggs Porter: Yes. So the majority of the amendment on the credit facilities condition upon the bond at $1.250 billion there are exceptions to that. As I noted, one exception is where the language was clarified, that the proceeds to the land sale can be used against term loan A or term A-1 as opposed to needing to be pro-rata spread over both term loan A and B. So that part – the amendment, that clarifying language is independent of the bond transaction.
Michael McCaffery: Okay. So that piece alone will – that amendment – so is that a separate amendment? Are there multiple amendments than that?
Biggs Porter: I mean, it’s structured such that within the amendment there are some elements of it which are not contingent and some elements that are.
Dan Jablonsky: But I guess for clarity, Michael, the part that’s not contingent – not contingent on a bond offering is that, we can apply the proceeds from the land sale to the term loan As that are due next year.
Biggs Porter: Yes. Let’s say, with or without a bond, we have clear paths to be able to pay down term loan A-1.
Michael McCaffery: Right. So assuming the bond deal get done, is there a reason than once the real estate proceeds came in that that would be targeted at the bond versus some type of pro-rata with the peri-term loan B?
Biggs Porter: No. As I said earlier, it would go – we issue the bond at $1.25 when the land proceeds come in, $250 million of that would be used to redeem $250 million of the bond issuance.
Operator: And I will now turn the call back over to the presenters.
Dan Jablonsky: Okay, great. Thanks everyone for dialing in today. Appreciate the interest and the support. We’ll probably see some of you out here on the road in the next couple of weeks, and otherwise look forward to catching up with you in the coming weeks and months as we make our way towards the end of the year. Thanks everyone.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.